Operator: Ladies and gentlemen, thank you for standing by and welcome to the UP Fintech Holding Limited's First Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. I must advise you that this conference is being recorded today, Thursday, May 28, 2020. I would like to hand the conference over to our first speaker today, Mr. Clark Soucy. Thank you, please go ahead.
Clark Soucy: Thank you, Carina. Hello everyone, and thank you for joining us for the call today. UP Fintech Holding Limited's first quarter 2020 earnings release was distributed earlier today and is available on our IR website at ir.itiger.com as well as Globe Newswire Services. On the call today from UP Fintech are Mr. Wu Tianhua, Chairman and Chief Executive Officer; Mr. John Zeng, Chief Financial Officer; Mr. Fang Lei [ph], CEO of U.S. Tiger Securities; and Mr. Kenny Chao, our Financial Controller. Mr. Wu will give an overview of our business operations and discuss corporate highlights. Mr. Zeng will then discuss our financial results. They will both be available to answer your questions during the Q&A session that follows their remarks. Now, let me cover the Safe Harbor. Today's discussion contains forward-looking statements within the meaning of the U.S. Private Securities Litigation Reform Act of 1995. A number of factors could cause actual results to differ materially from those contained in any forward-looking statements. For more information, about factors that could cause actual results to materially differ from those in the forward-looking statements, please refer to our Form 6-K published today, May 28, 2020 and our annual report on Form 20-F filed on April 29, 2020. We undertake no obligation to update any forward-looking statements, except as required under applicable law. It is my pleasure to now introduce our Chairman and Chief Executive Officer, Mr. Wu. Mr. Wu will make remarks in Chinese, which will be followed by English translation. Mr. Wu, please go ahead with your remarks.
Wu Tianhua: Good evening everyone and thank you very much for attending the Tiger Brokers first quarter 2020 earnings conference call. In the first quarter despite the severe global impact of the pandemic, we leveraged the strengths of our online model and were able to demonstrate solid progress on multiple initiatives. Our key business metrics showed notable improvement compared to previous quarters. Total revenue was $23.2 million, a new high and represented an increase of 136.7% on the same period last year. Thus the first quarter of 2020 had the fastest quarterly revenue growth since our firm's IPO. Furthermore, in the first quarter we reported our first ever GAAP net income of $3 million versus a loss of $2.9 million in the same period last year and $600,000 the past quarter. Achieving positive net income is a major milestone for our firm and as a result of our commitment to improve efficiency and drive growth from a diverse range of business segments. We are also satisfied to report that as we continue to provide more differentiated products and services, more and more clients are placing every greater trust in our firm. In the first quarter, we added 20,900 new accounts with deposits, a 2.5 times increase over the same quarter last year in terms of quarterly new account additions. Total accounts with deposits also increased 53.1% over the same quarter of last year. I would also like to highlight that in the first quarter when global markets and all asset classes evidenced extreme volatility, our risk control policy was prudent and as of today there was no material adverse impact to our firm in terms of P&L. In the first quarter clients entrusted us with more of their assets. Total account balance reached a new high of $5.5 billion, an increase of 79.7% on the same period last year. Our clients continued to diversify their trading away from U.S. listed Chinese ADR companies. Chinese ADRs only accounted for 25% of our U.S. equity trading volume. Our U.S. and our Singapore offices are starting to onboard clients. I expect to see more offshore clients using our services. Moving on to IPO underwriting, most of the deals on the Street are somewhat delayed due to the pandemic, but our pipeline remains very strong. We migrated road shows online from offline by connecting issuer and investors using video conferencing and phone calls and achieved good results for the issuers. In the first quarter, we underwrote four U.S. IPOs, including Quaza Holdings [ph] and John Chao [ph] Inc. Tiger's ESOP business continues to grow with good momentum. In addition to new customers ranked in the top of Chinese internet companies, we are also adding customers from traditional industries. We keep investing in our system architecture and customer service capabilities and are now able to manage some flex ESOP plans for multinational firms in different jurisdictions. In the first quarter in total we added eight customers. I am confident ESOP will continue to obtain growing numbers of customers. I would like to conclude my remarks by giving an update on our wealth management business. Near the end of the first quarter, we officially launched our “Fund Mall” a new feature of our platform that allows clients to seamlessly invest in global mutual funds. The Fund Mall readily offers over 50 funds from top-tier global asset managers, including Fidelity, BlackRock, Morgan Stanley, HSBC and other notable institutions. Funds offered in the Fund Mall include fixed income funds and equity funds that's spanning wide range of currencies and global markets, assisting our clients to increase their portfolio diversification. In the second quarter we plan to offer over 100 funds as well as launch our internally developed rating system for clients to evaluate funds across a wide range of metrics including funds income, risk, size, and manager quality. This system will assist our customers to increase their knowledge about mutual funds and their propensity to invest more of their assets in our Fund Mall. Finally, I would like to comment on the progress of our share buyback program. From April 1, 2020 to May 26, 2020 we spent approximately $1.5 million to repurchase 508,000 ADS. I would know like to invite our CFO, John to go over our financials.
John Zeng: Thanks Tianhua and Clark. A solid first quarter performance as we broke-even on GAAP basis for the first time. Total revenue was US$23.2 million increased over 137% on a year-over-year basis. Our users were very active in the first quarter given the volatile market backdrop. Commission increased to 125% to $14.3 million. Interest related income, which combines financial service fees and the interest income increased to 129% from the same quarter last year. Other revenue primarily consists revenue from corporate services such as IPO underwriting grew 291% year-over-year to $2.5 million. Across the Street, IPO underwriting has slowed down due to COVID-19. Our deal [indiscernible] however remains very strong. We are optimistic more deals will get printed once market sales size to stabilize. Interest expense increased 357% year-over-year to $1 million this quarter. After interested expense net revenue was US$22.2 million increased to 132% from the same quarter last year. Now switching to expense, clearing expense increased to five times to $1.8 million due to increased trading volumes. Salary expense increased to 34% year-over-year to $10.5 million as our headcount grew 37% in the same period. In 2020, our headcount growth will moderate, but we will keep adding key positions. Occupancy expense almost doubled to $1.2 million due to increased headcount and office space. Communication and market data expense also grew 54% year-over-year to $1.8 million as we have more users. In the first quarter, given the more active market sentiment, we increased our marketing spending and the total marketing expense increased 45% to $2.8 million. SG&A expense slightly increased 5 percentage point $3 million primarily distribution expansion and professional services. Total expense for the first quarter was $20.3 million, an increase of 45% year-over-year. Income before tax was $4.7 million. Net income was US$3 million and loan capital income was $4.2 million. Overall we are satisfied with our progress in the first quarter. We are taking advantage of the short-term market volatility, higher user acquisition rate and starting to see operating leverage across our business units. That being said, a prolonged volatile market caused by COVID-19 could have adverse impact on our business and financials. We are closely monitoring the situation and make adjustments when necessary. This concludes our prepared remarks. Now we can open for questions.
Operator: [Operator Instructions] Your first question comes from the line of Sherry Zhang from Citi. Please ask your question.
Sherry Zhang: Hi management, thank you very much for giving me the chance to ask questions. I have two questions here, the first one is about our lending business. So, may I know why the margin financing balance was down quarter-over-quarter in the first quarter and is it mainly due to client unwinding their positions or because like the company has tightened leverage ratio, and why the interest income is down more than the margin financing balance, is there any pricing pressure? And second question is about the cost to market, management share what is target client AUM and the fee structure i.e. what is the subscription fees and how much management fee are you able to share from the managers and what is the typical settlement period for the client? And do you have any target on the AUM and revenue contribution for 2020? Thank you.
John Zeng: Hey Sherry, thanks. Let me answer your first question in regards to margin and Tianhua will answer your second question. So the margin balance was down year-over-year because during the market downturns people tends to hold on cash okay. So it's not that many users or taking on margins. So that's why the total margin balance was down. So during the meantime, yes we do have very prudent risk control policies with certain starts we have to increase maintenance margins. So that's why you see some of those margins like the margin cost will get tighter. The market starts to get to normal – we are seeing that more people are taking out margin to start trading the securities. So to answer your question, yes the balance was down was due to most likely the market downturn and we also have tighter margin policies for certain stocks.
Wu Tianhua: Yes, just to answer your question let me translate. We just started Fund Mall by end of first quarter. So right now we don’t have much data to share. In terms of your question on how we split the management fees with the fund companies, we don’t really disclose that data, but we will give you some trends once we have more data to share. Thank you.
Operator: [Operator Instructions] There are no further questions at this time. I would like to hand the conference back to Mr. Clark Soucy, please continue.
Clark Soucy: I would like to thank everyone for joining our call today. I am now closing the call on behalf of the management team here at UP Fintech. We do appreciate your participation in today’s call. If you have any further questions, please reach out to our Investor Relations team. This concludes the call and thank you very much for your time.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may all disconnect.